Operator: Ladies and gentlemen good morning and welcome to the Choice Hotels International fourth quarter and full year 2007 Earnings Call. At this time, all lines are in a listen-only mode. Later there will be a question-and-answer session and instructions will be given at that time. (Operator instructions) As a reminder, today's call is being recorded. Now, during the course of this conference call, certain predictive or forward-looking statements will be used to assist you in understanding the company and its results. Such statements are subject to risks and uncertainties that could cause actual results that differ materially from those expressed or implied by such statements. The Company's Form 10K for the year ended December 31, 2006, details some of the important risk factors that you should reveal Although, we believe that the expectations reflected in the forward-looking statements are reasonable, we cannot guarantee future results, levels of activity, performance or achievement. We caution you not to place undue reliance on forward-looking statements, which reflect our analysis only and speak only as of today's date. We undertake no obligation to publicly update the forward-looking statements to reflect subsequent events or circumstances. Now, with that being said I'd like to introduce Chuck Ledsinger, Vice Chairman and Chief Executive Officer of Choice Hotels. Please go ahead, sir.
Chuck Ledsinger: Thank you. Well, good morning and welcome to our fourth quarter and full year 2007 Earnings Call. With me this morning is Dave White, our Chief Financial Officer. Yesterday after the market closed, we reported our fourth quarter and full year 2007 results. After I share some brief highlights from the yesterday's announcements, I'll open up the call for your questions. Domestic Unit growth for 2007, was 5.6% and Domestic RevPAR growth was 4.7% for the fourth quarter and 4% for the full year compared to the same periods in 2006. Domestic RevPAR for our mid scale without food and beverage brands, which represent approximately half of our rooms online, increased 5.2% for both full year and fourth quarter 2007. The principal driver of RevPAR improvements for these brands was average daily rate growth, which exceeded 5.5% for these brands during 2007. 2007 was another record year for franchise development as new domestic hotel franchise contracts increased 7% to 770 executed agreements. Fourth quarter new domestic hotel franchise contracts increased 13% to 301 compared to the same period last year. For the full year new construction and conversion hotel franchise contracts increased 14% and 3% respectively, compared to the prior year. A strong unit growth RevPAR performance and franchise sales were key drivers of our operating income and earnings per share growth. Operating income for the full year increased 11% to $185.2 million compared to $166.6 million in the same period of prior year. Operating income for the fourth quarter of 2007 increased 21%, $48.1 million compared to $39.9 million for the fourth quarter of 2006. Diluted earnings per share for fourth quarter 2007 were $0.44, an increase of 19% compared to 2006. The full year 2007 diluted earnings per share were $1.70. Adjusted diluted EPS for full year 2007 were $1.70, a 14% increase compared to adjusted diluted EPS of $1.49 for full year 2006. Adjusted diluted EPS for the fourth quarter of 2007 were $0.44, a 22% increase compared to $0.36 for the same period of 2006. Adjusted diluted earnings per share amounts exclude reductions of income tax expense related to the reversals of income tax contingency provisions of approximately $0.01 and $0.19 per share for the fourth quarter and full year 2006 respectively. In 2007, we continued to execute against our long-term strategy of returning excess capital to shareholders. For the year to come we purchased approximately 4.9 million shares of its common stock for total cost of $184 million. The company also paid approximately $40 million of cash dividends to shareholders during 2007. Looking forward, we expect first quarter 2008 diluted earnings per share of $0.26 and full year 2008 diluted earnings per share of $0.87. EBITDA for full year 2008 is expected to be approximately $207 million. These figures assumed domestic unit growth approximately 5% for full year 2008 and approximately 2% increase in RevPAR for the first quarter of '08 and 3% for the full year and a 4 basis point increase in the effective royalty rate for full year 2008 and an effective tax rate of 36% for the first quarter and 36.5% for the full year of '08. In closing the fundamental strength of our business model was evidenced in our full year and fourth quarter 2007 performance by providing an exceptional return on investment for our franchisees. We are able to attract and retain owners for a family of 10 well segmented brands. And I'll now open up the call to answer any questions that you might have.
Operator: (Operator instructions) Our first question will come from the line of Steve Kent with Goldman Sachs. Please go ahead.
Steve Kent - Goldman Sachs: Good morning. Just a couple things, given the lower RevPAR expectations for the industry, and just what appears to be an increasingly more difficult environment for RevPAR gains, are you seeing any of your competition get more lenient on franchise pricing just to lock in some unit growth in this environment?
Chuck Ledsinger: Steve, I'll answer that question by saying not that I'm aware of. So, I haven't heard that from our sales force. So, Dave I don't if you heard?
Dave White: I haven't heard anything different.
Chuck Ledsinger: Yeah, I don't think so. I think we just haven't seen that this really hasn't been an issue.
Steve Kent - Goldman Sachs: Okay. Then just as the usual question, given the cash flow, given the balance sheet, any new thoughts on dividend or share buyback or something along those lines?
Chuck Ledsinger: I'll give you the usual answer. It's a great business. We generated excess cash and we're continuing to look for opportunities to expand the business. And if we can't find profitable ways, that we think makes sense for the long run, we will continue to repurchase shares, and continue to pay dividends. So, there's really no different strategy there, Steve.
Steve Kent - Goldman Sachs: Okay, thanks.
Chuck Ledsinger: Sure.
Operator: Our next question is from David Katz with Oppenheimer. Go ahead please.
David Katz - Oppenheimer: Hi, good morning.
Chuck Ledsinger: Hi, Dave.
David Katz - Oppenheimer: The unit growth I think your unit growth guidance actually went up a little bit?
Chuck Ledsinger: Yes.
David Katz - Oppenheimer: This quarter and just looking for some color on what the drivers that are? Is it a more new construction, the conversion, what's behind that?
Chuck Ledsinger: It's really based on our visibility to the pipeline, and what we know is in the ground and what's going to open next year. So, I think we feel that we had a good, strong, solid '07, and we think that will continue into '08 just based on the analysis of the pipeline. We've sold more new construction projects, but we are not looking at those projections. We're looking at things that are in the ground, under construction now.
David Katz - Oppenheimer: Right and so I guess part of what I'm getting at is, are conversions starting to accelerate? Don't we usually see that as a dynamic at some point in the cycle?
Dave White: If you look at our pipeline report exhibited in the press release, you can see that actual conversion properties in the pipeline at the end of this year, at the end of '07 were about, I think around 7% higher than what it was at the end of '06. I think you're on point there, and that's what we've seen in past cycles, as kind of acceleration on the conversion side of things.
David Katz - Oppenheimer: Right, and is there a component of the pipeline that is international, maybe growing a little faster, are we going to start to see some signs of that end of it improving?
Chuck Ledsinger: Dave, I think that over time, we just see that there is, and when we made a lot of changes in the past year or two around how we operate in Europe, we acquired back the master franchising rates in Europe and the UK from partners, who previously, weren't as successful. I think that having control of those regions will give some opportunities every time to help those locations perform better. And I think we feel good about what we have doing with Canada, Australia, and the other parts of the world. So, I think over time you'll start to see that we'll continue to make improvements there in the profitability of that business. And it's already good, in our mind.
David Katz - Oppenheimer: And one last one, I saw you announced the deals this week on some new Cambrias, which appear to be basically toward the middle of the Southwest, Right? Are you getting any more or less regional interest on that brand from one end of the country versus the other?
Chuck Ledsinger: It's been pretty wide spread. It's a function sometimes I think, of the developers getting interested in the product, and where they may be based. And of course the products sometimes, where they have sites and where there is demand, but I don't know that you can say that there is any sort of geographic concentration, or seeing one area versus another. It's a lot more opportunistic and then.
David Katz - Oppenheimer: Right and then one last one and I'll give someone else a chance. I heard an observation recently that I'm unwilling to take personal ownership of. It can be easier for branded companies in a higher-end system, to reach down market with a new brand, than it can be for a lower-end system to reach up market with a new brand. Do you observe that obviously you don't entirely agree with it, but do you observe any of that, and what do you think about that?
Chuck Ledsinger: Well, I mean I think it's a matter of degree. I wouldn't say that the Cambria in a huge leap went to another segment, 40% of our Choice privileges customers, which is our frequency program, already go to the two primary competitors in that space. So, these are customers that are our best customers, and they are using other products today. So, we do a lot of research in Cambria. And that's a lot of those very specific exact questions that you are asking. The answer was, you don't own the customer, the customers play across a number of segments because they really look at the businesses and occasion driven business. So, we think $6 million frequent customers, and this huge distribution system. We know we can move business into that brand. It's now like we are going from Econo Lodge to Four Seasons, I mean this is not a huge big step up. We have hotels today that run the same rates or higher rates, and some of the Cambria also. I would say that in net observation is, I mean my experience, I was in Holiday Inn, when we started Embassy Suites, and it was one of the most successful chains ever. So, I think that's a little bit of a myth maybe.
David Katz - Oppenheimer: Doesn't work for you. Okay. Thank you very much. Nice job.
Chuck Ledsinger: Sure
Operator: Thank you. We'll go next to William Truelove with UBS. Please go ahead.
William Truelove - UBS: Hey guys, good quarter.
Chuck Ledsinger: Thank you.
William Truelove - UBS: A little bit about the conversion activity, is there in your outlook for external growth in that, are you assuming continued expansion above and beyond the current number of conversions that you have already in the pipeline, is that what you need to get to the numbers? Or to put it another way, if we continue to see an increase in conversion activity to your brands, could you probably exceed your external growth target for the year?
Dave White: Yeah, I think the extent that the conversion side of things accelerates the franchise sales side could give us some upside in 2008. Right now, we assume that what's in the pipeline for conversions comes online based upon our opening success percentages there, plus some kind of level of franchise sales for 2008 that are conversion that actually sell in '08 and come online in '08. But, to the extent that we do better on the conversion side during 2008 on franchise sales, that could be some upside there potentially.
William Truelove - UBS: And maybe an around about way of asking about share repurchases, because I know you've got a standard answer. How about this, is there a minimum amount of cash that you need on the balance sheet probably to run the franchise organization, is it 20 million, or is it 40 million? What sort of level of cash on the balance sheet do you feel will make you start to get a little uncomfortable?
Dave White: Well, on the balance sheet side, on cash, when you look at our cash balances at the end of the year, a big component of that is our international cash balances, which for some tax structure reasons, we really limited in terms of how we can use those cash balances for share repurchases, debt paid down that type of thing. So, that's a pretty big part of what's going on with the cash balances at the end of the day. So, we have plenty of liquidity around cash that could be a revolving bank facility that goes out for another two or three years here. I guess we have about $200 million or so capacity remaining on that at this point. So, we've got plenty of liquidity from the cash perspective. So, I think on the cash side, it's more a function of move for the long-term, addressing the utilization, and there is an international cash balance, and that number should come down over time.
William Truelove - UBS: Okay. And then one final question maybe you can answer. This afternoon, your competitors brands, they're all of 20 years old right now, and a lot of those are franchise contracts will be coming off, there are a lot of things that no longer fit their brands. So, I'd assume a lot of those hotels are looking for conversion activities, are those the kind of brands that you're targeting specifically for conversions, or do you just target pretty much anything the trend is on?
Dave White: Well, I think that first of all, it has to fit one of the brands that we have, obviously and fit the standard. So, in some cases there are Hamptons, and in some cases they're independent. There is no one concentration of assets that are in those conversion brands. They really all over the place, and a fair number of them are independents. So, there are still a ton of independent hotels out there. So, I'd say that we're opportunistic if it looks like a competitor may be changing some of the amenity requirements, or as you say, they may be up on the end of their term, and if they fit one of our brands, it makes more economic sense for that owner to convert to one of our brands, from where they are, and then that's what happens, but it's not any one that we looked at that a lot try to figure out, sort of how do we. Is there any one specific brand that seems to be feeding the conversion, (inaudible) and the answer is, really not. It's really diverse. And again it has to be something that makes sense for our brands too -- sometimes those were Hamptons and sometimes they're not.
William Truelove - UBS: That's all the questions. Thank you.
Dave White: Okay, sure William.
Operator: Sir, thank you. And we'll next to Joe Lamen with Lehman. Please go ahead.
Joe Lamen - Lehman: Good morning. I was just wondering about your 2008 RevPAR guidance in price and acceleration through the year. And I was just wondering what gives you confidence in that?
Chuck Ledsinger: Well I think what we are seeing is, if we look to the guidance at SGR and PWC, when that was put out on RevPAR, and can tell us where some or the other competitors in the lodging space are positioning RevPAR growth going forward. Yeah, you are right there is in acceleration in RevPAR in the last three quarters of the year, but 2% in Q1 and kind of an average of 3% I guess over those last three quarters, 3%, 3.5% gets you Canada to around 3%. So, we feel good based upon what we're seeing from the prognosticator, and the limited data that we have looking into '08, the bookings without that acceleration in the last three quarters of the year.
Joe Lamen - Lehman: Okay, thanks.
Operator: Your next question is from Patrick Scholes with JP Morgan. Please go ahead.
Patrick Scholes - JP Morgan: Hi, good morning. When I'm looking at the performance of your individual brands in the fourth quarter, I noticed Rodeway in your economy segment finally out performed in almost 13% RevPAR. What's driving out performance with that brand?
Dave White: Yeah, you can see the supply growth there has been pretty good too, in terms of units and rooms. And what's going on there is some of the additions to that brand recently had been in pretty good locations actually. So, it's kind of driven that what you see in there from a RevPAR perspective in the results. Better quality assets, and better located markets.
Patrick Scholes - JP Morgan: Great, my other question concerns credit availability for potential new franchises, with the credit crunch what's latest you're hearing on availability to obtain financing on the local level?
Chuck Ledsinger: Well, I think we are seeing it slow some. There seems to be four better known and high quality developers, there seems to be equity, and there is a little bit of slowing on the debt side we think, maybe said in other way, it's more conservative underwriting. So, yeah, we are trying to hear a little bit of that. As a matter of fact, we are in the conference, so it's bunch of our developers just yesterday and day before, that ask that question a fair amount. Projects are still getting done. But, they are little bit harder to do.
Patrick Scholes - JP Morgan: With the supply cycle, is that give you sense that '08 will be the peak of the growth rate for the industry and then we are starting to decelerate after that?
Chuck Ledsinger: That's a hard one, it all depends on the availability of capital in the banks. So, obviously if the spill over from the issues we have been seeing in the sub-prime and all of that, start to constrict the bank's ability to lend, yeah, you're going to see a slowdown on new supply. And I think if that continues you probably will see softening in the economy, then we will slow things down a little bit too. I don't think anybody sees a precipitous fall off here. It seems to be more of a sort a softening. That may not be all bad in the long run. We play both sides of the cycle. So, we can have conversion, and new build brands. I don't have the crystal ball. I really don't know what to tell you. I think we're seeing the same things you guys are probably hearing and that's slowing a little bit.
Patrick Scholes - JP Morgan: Great, thanks for the information.
Chuck Ledsinger: Sure.
Operator: Thank you. Our next question comes from Joe Greff with Bear. Please go ahead.
Joe Greff - Bear: Good morning, guys. Dave, what is the cash tax rate for 2008?
David White: Cash tax rate for 2008 -- I don't have that here in front of me. I don't know that it will be that different from what it had been in '07. You can probably look back at last year's cash flow statement. I don't have that in front of me, with the non-cash disclosures section.
Joe Greff - Bear: And with respect to renewals in the portfolio in 2007, can you quantify how many rooms were taken out for quality assurance reasons or traditional reasons? And then how you see your portfolio now and how that trends going forward?
Chuck Ledsinger: In the past couple of years I'd say, terminations have been somewhere around 4%, 5% kind of the previous years' systems size if you will. And there are a variety of reasons for the terminations, you've got quality assurance, you've got some situations where ask the franchise, or take ours out, or the property sells and doesn't reflect it. I'm not seeing anything that causes me to think that going forward in the next couple of years, that will look really materially different from what's been in the past for us.
Joe Greff - Bear: Thank you
Operator: Thank you. We'll go next to Jeff Donnelly with Wachovia Securities. Go ahead.
Jeff Donnelly - Wachovia Securities: Good morning, guys.
Chuck Ledsinger: Hi, Jeff.
Jeff Donnelly – Wachovia Securities: Chuck, if I just ask a follow-up on the earlier financing question. Do you think that for your franchisees, are you hearing is it a question of overall proceeds, or financing costs, or maybe just a little bit of both that's driving that difficulty in getting a getting credit?
Chuck Ledsinger: Yeah, Jeff, it depends a lot on that, it's a hard one to answer because it depends on the developer's honestly or the owner, because some of these ownership groups are very well capitalized, and they have relationships with local banks, or with long-term relationships with lenders. And there, this will affect getting their financing, the ones on the margin that are maybe newer owners, or maybe people they don't have the track record of people, that maybe one as well capitalized, or perhaps more expensive, or tougher to do locations. There is money available, but the loan to cost and the loan to value ratios are a little bit different, which requires either more equity sometimes, or maybe a little equity plus, in those fees. So, and that's on the more complicated deals. I don't know that we're seeing that per se on the -- sort of an average type deal. Dave you may have -- I know Dave spoke to some of these guys we have been with the last couple of days maybe a little more depth than I have but.
Dave White: The only thing I was hearing was just that despite on the credit side of things, liquidity there has moved a little bit, but the equity side there seems to be plenty of equity around for these things. I mean Chuck mentioned, and then only the other piece was one of the developers was talking about how the past two years have really been anomaly based upon his 40 year history in the industry around kind of the credit availability, and so things he felt like moving that or more back towards a more normalized situation and the examples he was providing were, that it was easier in the past couple of years to get, since a non-recourse debt, and now the banks are looking much more to have guarantees, and personal guarantees, and security what not, more frequently than they were over the past couple of years. But he felt like that for the long-term it was probably healthy for the industry.
Jeff Donnelly – Wachovia Securities: Say in developer's just lovely recourse of an anything
Chuck Ledsinger: Yeah.
Jeff Donnelly – Wachovia Securities: Chuck okay. I had a question for you as well. I mean in addition a lot of the established brands being rolled out there by the brand family. There is still a lot of new select service products that are out there, whether it's Cambria, Aloft, Element, Indigo, etcetera either or out there. I guess an environment where pressure on your franchisees is likely greater than it has been say 6, 12 months ago. How do you or maybe your competitors modify, what you're doing to keep a competitive advantage to avoid fall out your pipeline, are you sure that you continue to gain share? Are you somewhat choosy with your developer partners, or you go the step of we were talking earlier, advising franchisees ,and how to navigate the financing market, or I think someone asked earlier you become more lenient in the fees?
Chuck Ledsinger: Well, I think you might view a little bit of all those things. I mean one thing you do too I think is be sure that you got a product that is a right cause to build, and we think we have that in Cambria, which is actually a more attractive development in our cost per key than some of the brands you mentioned. And so we're seeing people that are involved with us in Cambria that are telling us -- we heard it from them. So, I think that's certainly a positive and I think you try to put together programs perhaps for -- you just you're more active and trying to put together the developer. What we do is, we have a grip, we have a real estate grip that actually goes and find size, and so we will actually find size sometimes, hand them over to a developer and then saying okay, we have relationship with lenders, we put developers together with lenders both debt and equity. So, that's kind of what you do and then you try to do whatever you can do, help the projects along, so, in a variety of ways.
Jeff Donnelly - Wachovia Securities: Hey I'm not cost point, I know there is not deep base experience on this point, to poll from the point because there was not many Cambrias out there. But how is that the cost structure of Cambria been looking like in I'll call in reality verse what you organically performing out there for investors, because anecdotally for example that your last concept it was coming in 30% to 40% higher than what Starwood originally suggested that some of their partners. How you guys nail the control those costs if you come to reality there?
Chuck Ledsinger: Yeah, I think we are pretty close, where we probably said it would be. We haven't seen big over runs in any of the projects that have been built so far. So, net of fact have been very attractively built in price. So, I think we designed that product and I think we are ended up very close, where we probably we would be.
Jeff Donnelly – Wachovia Securities: Just one last question is where are you guys on relicensing fees I'm curious what changes you're seeing in the transaction pace in price among Choice branded hotels the credit market causing a slow down there?
Dave White: In terms of the pricing so much and I have (inaudible) happens in terms of relicensing activities, we haven't seen anything really in the fourth quarter, or really so far in '08 that is different and kind of what we expected, or in terms of relicensing than whole enough reasonably well in term of a number of transactions.
Jeff Donnelly - Wachovia Securities: Okay. Thank you.
Dave White: Sure.
Operator: Thank you. We have a question from Michael Millman with Soleil Securities. Please go ahead.
Michael Millman – Soleil Securities: Thank you. It's actually Soleil. I guess a couple of things, the SG&A was up 6% in the fourth quarter is that level of growth sustainable or what would be more appropriate level of growth?
Dave White: Yeah, I think the way we thought about it in our '08 guidance, is that will be a little bit north of that, as we continue to do what we need to do to make the right investments in our emerging brands and also the other piece that I'll make comparisons a little bit difficult is the acquisition of the UK, which we just closed on in the January. So, you'll see a little bit higher SG&A growth for 2008 than what we saw there in the fourth quarter, something 8%, -- 7% to 8% somewhere that ballpark on a recurring basis.
Michael Millman – Soleil Securities: Okay. Moving on, the pipeline hotels was up 17%, but rooms was up about half of that and you think that with the Cambria of that would be benefiting them, but is it thing totally offset by conversions, which are probably smaller than average or maybe some other explanation?
Chuck Ledsinger: I'm not sure, really don't know, what you're asking there. Do you mind?
Michael Millman – Soleil Securities: It looked like the pipeline number of hotels in the pipeline was up 17% year-over-year?
Chuck Ledsinger: Right.
Michael Millman – Soleil Securities: But the number of rooms the pipeline looked like it was up about 9%.
Chuck Ledsinger: Yeah, I think that's we're using the worldwide numbers there on the rooms and domestic
Michael Millman – Soleil Securities: I believe I was using domestic.
Chuck Ledsinger: Yeah, I think frankly it's a function of the where our brands are and the relative kind of room size and I don't know.
Michael Millman – Soleil Securities: Okay. On RevPAR you have comparable unit RevPAR?
Chuck Ledsinger: We don't. We don't provide comparable unit growth -- RevPAR numbers. We go with our kind of system line numbers is what we traditionally provide.
Michael Millman – Soleil Securities: And so would there it sounded like at least recently there is at least some bias on the upside related to new acquisitions. So, is that correct?
Chuck Ledsinger: You mean -- well I'd say that the number if you're looking at Cambria openings, which are very small relative to quality and conversions, which are relatively large. The quality conversion would all set and when you look at an overall kind of RevPAR, so you'll break it out by brand when we -- so it's -- I don't think there are enough you're looking at the year-over-year comparisons for the entire systems. So, the extent that you have the type of properties, which you're bringing in obviously have a impact on the overall because of the -- like you saw in Rodeway, if you pull out Rodeway if you let off -- we had some higher little bit higher growth RevPAR type properties in that particular segment. Some of the others relative to what some system already may require more time to ramp up and in that. So, it's a very dynamic number. It has a lot to do with the mix, this coming in. I'm sure I answered your question, but I'm not sure we really have about a visibility to how you sort of slice and dice of looking forward was coming in and how -- what the impact that has on RevPAR.
Michael Millman – Soleil Securities: I guess because down to when we model certain RevPAR growth, we are making the [asset] assumption that's it's comparable.
Chuck Ledsinger: I think if you look at the mix of properties probably over the last couple of years, that's a pretty good assumption because I think there hasn't been dramatic shifts amongst the brands.
Michael Millman – Soleil Securities: And then the question, which surprised that come up is the economy question. What you're seeing out there -- you're seeing anything that suggests on that there is a recession, any shifts in how customers are making reservations or not making reservations, anything that would shed a bit of light on this broad subject.
Chuck Ledsinger: I don't think we're seeing anything differently than most everybody else. I mean we've moderated that first quarter a little bit RevPAR because what we were seeing. So, there is a little bit of softening there. We think that we sort of follow what the broader market is looking for in terms of RevPAR for the year. So, I think that sort of implies that you're going to have perhaps a little bit of softness maybe in the first part of the year and then maybe a little stronger second half -- which thing on what economist, choose to listen to agrees or doesn’t agree with that. So, we haven't seen, we don't have a lot of visibility out because the booking -- the booking window was very closed, I mean people are making two month out contract type reservations in the types of properties we have. So, it's harder to see any trends there. You can look at call volumes and those things, which are still pretty strong. So, our conversion rates, which means cost converted are still high. So, I'd say that, we are seeing a little bit of softens, but it's not anything dramatic or precipitous or anything like that. I mean I think we will just like any consumer driven product, we are going to be subject to consumer soft spending money. We will see a little bit of that still over in our segment. Is not, doesn’t seem to be is hit as hard as some of the other. They doesn’t seem to be quite as much substitution of not doing, not taking the trip, not going out, and the travel industry, the hotel industries and others. So, we haven't -- in our leisure we skew more leisure and we skew a little bit older per se for our products. So, that may help us a little bit because we are not going to have the concentration in some of the larger business travel type markets, where if there is a deep recession as we start to see it. The other thing to say is just to by virtue of the business model, we don't have incentive management fees and things that there is no operating leverage per se in the property level in our business model. So, we don't have the down draft that if things do get a lot tougher, but we haven't seen that. We really not, we are not seeing anything in our numbers. I'd say that our visibility sitting here today that I'd make a case frankly either one way or the other.
Michael Millman – Soleil Securities: Okay, great. Thank you.
Chuck Ledsinger: Sure.
Operator: Thank you. And we'll go next to Chris Oh with JH Whitney. Please go ahead.
Chris Oh - JH Whitney: Hi. Just wanted to touch a little bit more on the -- for the financing environment and if you look at your pipeline of new construction in some 728, how many of those -- has been have of all their finance secured to build?
Dave White: Yeah, it's not something that -- as a franchiser we're always pretty to their financing arrangements such it's whether they, the number that actually have committed financing in hand is not something we have perfect visibility into.
Chuck Ledsinger: We do -- as we analyze our pipeline though we go through where -- how long you leave something in the pipeline before you take it out. And so there is a time sort of some time frame if we look at when -- in executed contract, which is really just -- an executed contract is just somebody putting hard money down and it's basically non-refundable.
Chris Oh - JH Whitney: So, I guess basically if you look at the pipeline now sort of how the financing availability, is it pretty much similar to sort of what you've been seeing in the past?
Chuck Ledsinger: I don't know that we know the answer to that. I mean think the as I said what happens is that the contract's executed then you have a period of time to get the property open and get the financing. So, I guess really the question is taking longer to get financing secured then it might have been in the past and I think the answer to that question is yeah probably.
Chris Oh - JH Whitney: Okay. And then how many total rooms to those 728 properties represent and sort of how crucially are getting to the meeting in whole of the 5% that's the domestic area target?
Chuck Ledsinger: Yeah, the total rooms related to the 1000 units in the pipeline was 79,342 and if you look in to kind of '08 -- we think probably balance 75% or so our gross openings would be conversion hotels kind of 25% would be new construction. So, the mix in the past I think was like 345 or so conversions and then the difference was on the new construction side of things, so it's the number of units.
Chris Oh - JH Whitney: Okay. Thank you very much.
Chuck Ledsinger: Sure.
Operator: (Operator Instructions) And gentlemen we have no further questions. Please go ahead with any closing remarks.
Chuck Ledsinger: Okay. We thank you for you very good questions and your attention. And we'll talk to all of you soon. Good day.
Operator: Thank you. Ladies and gentlemen this conference will be available for replay after 11:30 am today to mid-night Thursday March 13th. You may access the AT&T executive playback service at anytime by dialing 1800-475-6701 and entering the access code 905-026. International callers dial 320-365-3844 using the same access code 905-026. That does conclude our conference for today. Thanks for your participation and for using AT&T executive teleconference. You may now disconnect.